Operator: Good afternoon, and welcome to the Farmer Brothers Fiscal Fourth Quarter and Full Year 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. As a reminder, this call is being recorded. Earlier today, the company filed its Form 10-K and issued its fourth quarter and full year earnings results press release, which is available on the investor relations section of Farmer Brothers website at farmerbros.com. The release is also included as an exhibit on the company's Form 10-K and is available on its website and the Securities and Exchange Commission's website at sec.gov. A replay of this audio-only webcast will also be available on the company's website approximately two hours after the conclusion of this call. Before we begin the call, please note all of the financial information presented is unaudited and various remarks made by management during this call about the company's future expectations, plans, and prospects may constitute forward-looking statements for the purposes of the safe harbor provisions under the Federal Securities Laws and Regulations. These forward-looking statements represent the company's views as of today and should not be relied upon as representing the company's views as of any subsequent date. Results could differ materially from those forward-looking statements. Additional information on factors which could cause actual results and other events to differ materially from those forward-looking statements is available in the company's release and public filings. On today's call, management will also reference certain non-GAAP financial measures, including adjusted EBITDA and adjusted EBITDA margin in assessing the company's operating performance. Reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures is also included in the company's release and SEC filings. I will now turn the call over to Farmer Brothers President and Chief Executive Officer, John Moore. Mr. Moore, please go ahead.
John Moore: Good afternoon, everyone, and thank you for joining us. Before we jump into our operational and financial discussion, I would like to take a moment to officially welcome our new Chief Financial Officer Vance Fisher, who is joining our call for the first time. Vance, whom you will hear from in just a bit, joined Farmer Brothers in June and has quickly been getting up to speed on our operations and DSD transformation efforts. He brings more than 25 years of financial leadership experience and a proven track record of helping organizations grow revenue and profitability. We're incredibly excited to have him on our leadership team. This past year has been a truly transformative one for Farmer Brothers. As you know, we completed the sale of our direct ship business to Treehouse Foods just prior to the start of fiscal 2024, as we made the decision to focus on our more profitable DSD business. Over the last 12 months, we have been focused on optimizing our value chain, driving operational efficiency, and enhancing our technology capabilities to drive better overall customer service. During this time, we completed our co-manufacturing agreement with Treehouse, centralized our roasting and production efforts to our Portland, Oregon facility and optimized our overall physical footprint to drive both cost savings and improvements to our customer service capabilities. This included the move of our headquarters and exit of Dallas, Fort Worth distribution center during the fourth quarter, which allowed us to optimize our distribution network without eliminating routes. We expect these strategic adjustments to deliver meaningful savings in fiscal 2025. From an operational standpoint, we have built a stronger foundation for growth over the past year. We implemented a new structure within our sales organization, took important steps to address our out of stock capabilities, and began a transformative SKU rationalization and brand pyramid initiative to ensure we have the right products in the right place at the right time and at the right value proposition to meet our customers' needs, no matter how unique or vast they may be. Overall, our focus on DSD has given us a stronger and more flexible foundation for future growth and has better positioned us to protect margins through market fluctuations, including the record recent highs we have seen in coffee pricing. Furthermore, the value proposition offered within each of the traditional, premium, and specialty coffee tiers within our brand pyramid will allow us to give customers options to participate at the price structure that works best for them on a nationwide scale. While we are proud of the significant progress we have made, change of this magnitude takes time. Over the last year, we have gained greater visibility into what is working and identified additional areas where we can make further adjustments as highlighted in our fourth quarter results. This includes further enhancing our operational capability, continuing to right size our overall cost structure, and aggressively focusing on customer growth and retention efforts as we look to drive greater performance across the organization. With that, I'll turn it over to Vance to discuss our financials in more detail. Vance?
Vance Fisher: Thanks, John. And hello, everyone. It's a pleasure to be here and I appreciate the opportunity to speak with you all today. This is an exciting time to have joined the company. I have a real passion for helping companies grow and grow in a profitable and sustainable way. And I saw that opportunity here at Farmer Brothers. Since joining the company in June, I've been immersing myself in getting up to speed with the business operations and gaining a better understanding of the challenges and opportunities that lie ahead. I've also been assessing how I can best support the organization and help drive significant value creation for our shareholders. I'm encouraged by what I've seen in my first 90 days and I'm excited about partnering with John and the rest of the leadership team and team members on this journey to put Farmer Brothers on a winning path. With that, I'll turn to our fourth quarter and full year fiscal 2024 financial results. A quick reminder, these results in the prior year are reported on a continuing operations basis reflecting our performance of our DSD business in the respective periods. Please refer to our Form 10-K, which was filed with the SEC today for further information regarding the respective performance of our discontinued and continuing operations. Our results for both the fourth quarter and fiscal year reflect the progress which has been made in optimizing our operations and capturing efficiencies, as John mentioned. However, they also reflect areas we will continue to focus on as we work to drive renewed sustainable growth and profitability going forward. Net sales for the fourth quarter of fiscal 2024 decreased slightly by 1% compared to the prior year to $84.4 million. The decrease was driven by a decline in sales volume. For our full fiscal year 2024, we achieved net sales of $341.1 million, which was a $1.1 million increase compared to $340 million in fiscal 2023. This increase was primarily due to stronger pricing, partially offset by decline in sales volume. During the fourth quarter, gross margins increased to 38.8%, a 630 basis point improvement compared to the prior year period of 32.5%. Gross profit for the quarter was $32.8 million, which was a $5 million improvement compared to $27.8 million in the fourth quarter of fiscal 2023. Gross margins for the full fiscal year increased 560 basis points to 39.3% compared to 33.7% in fiscal 2023. Gross profit during the year increased $19.3 million, or 17%, to $133.9 million, compared to $114.6 million in fiscal 2023. This increase in gross margin was primarily due to our pricing optimization efforts during the year. Operating expenses decreased by $1 million in the fourth quarter compared to the prior year period due to a $3.6 million increase in gains related to the sale of branch properties and other assets, and a $700,000 decrease in general and administrative expenses, but was mostly offset by a $3.3 million increase in selling expenses. The increase in selling expenses during the quarter was primarily driven by additional costs related to facility rent and healthcare benefits. The decrease in G&A was primarily a result of a decrease in personnel costs. For the full fiscal year, operating expenses increased by $600,000 compared to fiscal 2023. This was a result of an $8.2 million increase in selling expenses and a $4.1 million increase in G&A expenses, which was mostly offset by $11.7 million increase in gains related to the sale of branch properties and other assets. The increase in selling expenses during the year was primarily driven by additional costs related to facility rent and healthcare benefits. The increase in G&A was primarily a result of an increase in severance costs and other personnel-related costs and facilities rent. Our net loss from continuing operations moved to a loss of $4.6 million for the fourth quarter compared to a loss of $16.9 million last year. For the full fiscal year, net loss improved to $3.9 million compared to a loss of $34 million during the prior year period, an improvement of more than $30.1 million on a year-over-year basis. In addition, our adjusted EBITDA loss for the quarter improved by $5.6 million to a loss of $1.6 million. For the full fiscal year, adjusted EBITDA was positive at $558,000 compared to a $14.2 million loss in fiscal 2023 and almost $15 million improvement. Looking at the balance sheet, as of June 30, 2024, we had $5.8 million of unrestricted cash and cash equivalents, and $23.3 million in outstanding borrowings under our revolving credit facility, with $27.8 million of additional borrowing capacity. We believe we are adequately capitalized to finance our operations in fiscal 2025 as we progress towards our target of positive free cash flow. The significant gross margin and adjusted EBITDA improvements we have achieved over the past year underscore our confidence that we are building a strong foundation to support long-term value creation. With that, I'll turn it back to John. John?
John Moore: Thanks, Vance. As you have heard, we were able to make significant progress toward enhancing our operations in fiscal 2024 by upgrading our technology, improving our out-of-stock capabilities, reducing SKU redundancies, and realigning our cost structure. While these efforts are already bearing fruit, as is evident in our gross margin and adjusted EBITDA results, we believe there is considerable opportunity to further drive growth and create value as we continue to optimize processes, streamline production, and take full advantage of our industry-leading nationwide DSD network. Overall, we remain focused on driving top-line growth by providing high-quality coffee and on-trend products to meet current customer demands. These efforts will help drive product penetration within our existing customer base, while also attracting new, profitable customers to Farmer Brothers. Furthermore, the recent launch of Farmer Brothers and Boyd's rebrand, and the upcoming launch of our specialty tier coffee brand later this calendar year clearly identifies and defines our value proposition and allows us to meet potential customers wherever they may be. We believe there are early indications the initiatives and actions we have taken over the past year are having a positive impact. We anticipate improved gross margin and net profitability over the quarters ahead. We are, however, working to manage future headwinds given commodity markets and other macro factors that could impact our financial performance. Before we open it up for questions, I would like to take a moment to thank our teams across the company. Making large-scale change in any organization is challenging, and this is especially true for more than century-old industry leaders such as Farmer Brothers. I'm very proud of the strength and resiliency of our teams in response to our new initiatives, and we would not be where we are today without their hard work and continued dedication, so thank you. With that, I want to thank you all for joining us on the call today. Operator, we will now open it up for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question is from Eric Des Lauriers with Craig-Hallum Group. Please go ahead.
Eric Des Lauriers: Great. Thank you for taking my questions. First one for me, just looking for an update on your fulfillment rates. I know you saw significant improvements there in the first three quarters of the year. I think last quarter you said you were kind of early to mid-innings in those improvements. How did fulfillment rates trend in Q4 and perhaps in the month since?
John Moore: Hello, Eric. How are you? It's great to have you. Thank you for joining the call. I think what you're seeing is that we're continuing on the trend that you had noted in the first part of the fiscal year last year, there was general improvement in the fulfillment rates. We're definitely seeing that we've early on identified an appropriate reason for some of the degradation and attrition that we were facing. It was specifically linked according to our time in the field and then reinforced by the data and the analytics that we had done. It was linked specifically to those fulfillment rates, not only in roasted finished goods and allied products, but also in the equipment side. We've spoken to that in the past. I'm very happy to say that we've made tremendous progress in that over the course of the last year. And at the moment, we are running at almost, I would say, a completely resolved state. So that meaning, we now have identified pretty much demand planning to the extent we feel we need to be accurate in extending those finished goods product deliveries all the way from roasting manufacturing sources through to the distribution centers, through to the 80 plus branches in the network and then out ultimately to the routes and the customers. At the same time we've achieved that with the finished goods inventory, we're also seeing that measures we've taken on the equipment side have been extremely effective. So we did redeploy some resources, we made sure that we had equipment inventories at the branch level ready to deploy out to the field to accelerate our speed to market. And that again, it has been very successful. So I'm very happy to report that we've made tremendous progress on both fronts.
Eric Des Lauriers: Yes, that's great news. Great to hear. In terms of your brand pyramid, I know you were partially completed in that sort of overhaul. Could you just provide an update there on maybe where you are now and perhaps what remains to sort of complete that transition?
John Moore: Sure, that's a great question. Again, very happy to report we're on schedule. We've completed the Farmer Brothers and Boyd's rebrand efforts. Both of those SKUs have been transitioned almost completely. As with any transition, you always have a tail with some finished goods inventory associated with now somewhat obsolete SKUs. But happy to report again that transition is pretty much on schedule. Even the last remaining SKUs that are left over from the transition period are now being worked through. And we really don't see a need to have any kind of reserve activity or other concerns about working through that inventory over the next couple of months. So on the Farmer Brothers side and the traditional tier as we've identified it, we see pretty much completion and adoption of the new SKU sets. We see that having been distributed all the way through the network to the route level. When we talk about the Boyd SKU sets, similarly we see a successful transition from the other products that we were selling into the Boyd’s brand. That again has been successfully distributed down to the route level. What's especially exciting for us is the launch of the specialty brand and the collapsing of the various other sub-brands that we had into it. And that is on schedule and we're looking forward to launching that at the tail end of the calendar year.
Eric Des Lauriers: All right. That's great to hear as well. I guess just last one from me here, could you provide an update on how your innovative products like shot and liquid ambient coffee are sort of being accepted in the market. Just how those are progressing would be great. Thank you.
John Moore: Sure. No, I think we're always looking to provide our customer base with new, interesting products. These represent two of many that are part of the portfolio. On the shop side with the SHOTT syrups, again, non-GMO, all-natural product, shelf-stable ambient, incredible quality. We're excited about what's going on with SHOTT. We have some new customers that have recently adopted SHOTT. We have some new contracts that are going through that are very exciting for us. So we're seeing some positive growth with SHOTT, some positive adoption. And similarly with the Boyd's Liquid Ambient side, we're seeing some positive traction growing with the Boyd's Liquid Ambient. And that's significant for us as we did have some supply chain issues associated with the other SKUs that we had in that space in the past. And this really allows us to own that supply chain 100%. We're in control of our own destiny with that product. The quality is outstanding, and again, a significant improvement over the experience for the consumer, and that this is not a frozen product. So there's no slacking required operationally. It's much easier to work with. And so we're very excited to see what this will do as our existing customer base continues to adopt. And then we look to expand that into other spaces.
Eric Des Lauriers: Great. Congrats on all the progress and thank you for taking my questions.
John Moore: Thank you, Eric.
Operator: The next question is from Gerard Sweeney with Roth. Please go ahead.
Gerard Sweeney: Good afternoon, guys. Thanks for taking my call.
John Moore: Thank you, Gerry. Thanks for calling.
Gerard Sweeney: Vance, welcome aboard, too. I wanted to discuss on the third quarter call, I think you talked a little bit about customer retention churn. Sounded like you even had a few weeks where you went from negative to positive in terms of retention [indiscernible]. Can you give us an update on how that is progressing fourth quarter and into the fiscal year?
John Moore: Sure. That's a great question. We've spoken in the past about this, and in 2024 I think we made tremendous progress versus 2023, and we've seen that attrition rate coming into line with industry averages, but at the same time, our total customer count from the pounds associated with them, they are still a little bit down from where we would like. We see less pounds per customer due to a few different industry trends, like the adoption of the bean-to-cup technology, really happening at scale now, particularly in the seed store channel where we play and have a significant role. But we also see inflationary pressures coming to bear, pricing fatigue, and consumers kind of tightening the belts and purse strings during a time of relative economic uncertainty. So further downstream, we see sort of less cups being sold per location to an extent, and consumers beginning to take a more measured approach to consuming patterns, whether that's consuming a little bit less than they might normally or consuming a little bit less often than they might typically. On a positive note, we do see that the business development team is outperforming in terms of profitability when they're adding customers. So the size of the account and the eye to the bottom line of the account has improved, but the total number being added isn't quite at the rate that we would hope and it isn't really enough to offset that attrition number. The other piece is, as we're taking appropriate steps to steward the business through some of the inflationary pressures on our side of supply chain management. And we continue to focus on, as we've discussed in previous calls, that customer profitability factor. We do anticipate the possibility of some acceleration in attrition just as people experience this pricing fatigue and they experience the general inflationary pressures at scale. And overall, we're focused on higher profitability customers and we're seeing that show up in our gross margin and adjusted EBITDA. So as we continue to look to build through strategic review process and keep this as an acute area of focus for our business, we're cognizant of some of the challenges we face and we're looking to challenge our business development team and leverage our route sales representative network to add value.
Gerard Sweeney: Got it. And obviously, I think you just mentioned our target or goal being free cash flow positives. I believe this year, can you give us maybe a little bit of a roadmap how you get there and maybe a potential time frame.
Vance Fisher: Hey, Gerry, this is Vance. It's a good question. We have talked about that in the past. I would say that we are making good progress in really putting the business in the right position now to reach that milestone. But achieving it in, what I would say, a sustainable way is going to require renewed sales growth, continued protection around gross margins, and then, obviously solid working capital management. We're focused on all of these areas. Feel pretty good about the trajectory that we're on and the potential going into fiscal 2025. In terms of specific timeline, I think it's a little early to provide any specifics around that. But we're continuing to work towards that and feel good about where we're at and the progress that we're making.
Gerard Sweeney: Got it. I appreciate it. I'll jump back in line. Thanks, guys.
Operator: This concludes our question-and-answer session, and the conference has also now concluded. Thank you for attending today's presentation. You may now disconnect.